Operator: Good morning or good afternoon. Welcome to Swiss Re's Annual Results 2020 Conference Call. Please note that today's conference call is being recorded.  At this time, I would like to turn the conference over to Christian Mumenthaler, Group CEO. Please go ahead.
Christian Mumenthaler : Thank you very much and good morning, good afternoon, everyone, wherever you are, I hope you're safe and healthy. I'm here in the room together with the Group CFO John Dacey and the Group Chief Underwriting Officer, Thierry Léger, as well as Thomas Bohun of our Investor Relations team.  So today, we're going to talk about the 2020 results, some outlook and before I go into Q&A, I just like to go through a few points I've noted down that are important to me, and hopefully give a quick overview and maybe some points that I'm sure will come back later in the Q&A. So the first, I want to talk about the pandemic, the underlying result and the outlook. When it comes to the pandemic you have seen, we booked finally $3.9 billion for the full year. This is probably relatively close to what we thought at half year, even though Q4 was worse than I guess most of us expected. Clearly, I guess in summer there was some hope of an easier Q4.  But in particular, in the US, if you look at the mortality, there was I think 180,000 excess deaths in the US. This was quite catastrophic and worse than worse than expected. But overall, I'm extremely happy with our claims team, how they were upfront early. Their assessment is astonishingly precise of what they did at half year. And so there remains a big uncertainty around business interruption. As you have probably seen in the slides, this is the one where it is really the most difficult to say, and the IBNRs are incredibly high. But that's just something to be aware of.  Also important to be aware of is the way we define the mortality, COVID lost is two I think valid ways of doing that. One is to add up all the deaths with a death certificate that specifies that the person died of COVID-19, which is what most people have chosen to do. Or you can say all deviations from the norm of the last few years is probably due to COVID-19. And that's what we have done and that's a higher figure. We have both figures internally that's a higher figure. So it doesn't change the end results just the attribution to what is COVID-19 and what is not. So keep that in mind when you compare.  We also tried to give an outlook 2021 of what was still up. On the mortality side, we continue to believe it's better to just give you sensitivity. You can follow the excess deaths on different websites. So it's these 200 million for every 100,000 excess deaths in the US, since that's our biggest driver. And to the P&C side, across CorSo and P&C Re, we came to conclusion that the 2021 year should be below 500 million of aggregated loss. That's, of course, based on I guess the scenario that is dominating right now, which is that we have a lockdown, there are strong restrictions everywhere in the Western world, the vaccine is being rolled out.  We all watch Israel with great interest since that's the only country that is actually through now with vaccinating the older population, including the second jab. And where we see significant falls in new cases and new hospitalization of this older – of the older people. So this gives a lot of hopes, obviously, there's some doubts around various variations and all of that. But the main scenario is clearly that we'll get through that and that the second half of the year will be maybe not completely back to normal, but much more normal. And if we see a third wave, it will be much smaller, and probably limited to the people who haven't taken the jab. So that's a bit the outlook on the pandemic, as I'm sure you're aware of the uncertainties around that, but we tried to give you our best estimate opinion.  So then you turn to the underlying results of $2.2 billion excluding COVID. I just like to highlight a few points here. If you go one year back to the biggest worries in the community, in the investors and analysts were around CorSo and reserve developments. So I have to say I'm extremely pleased with CorSo and where they are. They've executed in everything they had promised. They were helped by a stronger than expected market turn with very significant price increases last year, and the year before and it continues. So there's a very good momentum here. Their underlying – their combined ratio without COVID in Q4 was way too good.  We think there's a lot of good luck also in that or that due to COVID maybe there's less losses, so we don't take this 85% as anything to predict the future. And if you look at normalized including manmade normalized combined ratio, of course, for the full year, it's more around 101%, which is ahead of 105 we had hoped. But there's still a bit of way to go for the new 97 or lower yet announced for 2021. But everything CorSo, every element is positive. So I'm very pleased. They were early. They recognized things early, they worked on stuff. And I think now they're reaping some of the benefits of that.  Then the second point on PYD, I know this is always a big worry of the community. We saw much less activity in the second half of the year. They are as usual as with expected a huge amount of reserves some positives and negatives, but they're basically cancelling out each other. This is not a prediction of the future as usually this is always best estimate of where we are. But certainly the just what we observe the patterns and everything gives me hope for the future in terms of PYD, so these were the two biggest items. And then I would say the third is probably P&C Re, which is extremely important for the whole group.  In January of last year, we said we're going to have an underlying combined ratio of 97, which was achieved last year. And then as you've seen with the renewal we had – we now believe we can go 95 or below with the new portfolio. So this is also very positive. And in the slides, you can see that the last time we were somewhere there is 2014. So it's a long time ago. So the whole self cycle has been painful. I would also highlight that we executed on ReAssure. I know this is sort of done and dusted. But there's a lot of work here to get this done, to get this over the finishing line. And we're very, very happy with how Phoenix has taken that. I think this was a genuine win-win transaction. So very happy for both shareholder base that this could happen. And Phoenix is doing a tremendous job at integrating it in their own business. First point around asset management, you've heard at Investor Day that all the work that was done underneath the surface also to scrub the different portfolios to look at the sectors that will be particularly touched and to position ourselves correctly already in February has really paid off. So the performance of asset management was a very good one and has supported this year – last year's results. And then finally iptiQ, our startup is still small, maybe not that relevant for you at this stage, but we're very pleased. We see part of the future in that analytical mode and 70% in terms of premium and of the core business they have. So even within the pandemic, they were able to onboard many different partners. They're now at 40 partners. So that's a pleasant, a good development.  So I come to the outlook part, renewal, acknowledge that some people might have been astonished that we are shrinking the portfolio. In the Investor Day, we were all together I think I said to a question that was asked that we would focus on margins, which is precisely what we've done. We don't give premium targets to people. It's really more – the orders were around pruning casualty in a strong way, getting lower exposure to these Nat Cat aggregates, where we – while we increased the models still feel there's an influence of climate change and uncertainty. And so the executed and the minus 11%, you could see is the result of that execution.  As you can imagine, John and I looked in depth into all the data, we have all the data available to us. And we're extremely satisfied with it. There's always a question, there's always a big part of business that's sitting around 100% plus combined ratio, which is business that's, as you would expect is transacted in a very efficient way, low volatility, low margin, low capital usage. So its marginal business. We don't say this is really bad business. It's just business that is above 100%. And teams this year has decided not to write some of that. And we're perfectly fine with that. It has extremely little impact on our economics.  And actually, the outcome is very much in line with what we had hoped in terms of economic profit. So very happy with this portfolio, it's a much as Thierry Léger would say, a much better portfolio than what we had previously said. So that makes us very confident going into this year, and allowed us to lower this combined ratio estimates for this year to 95 or below. And in CorSo, as I said, before, we continued – very good momentum continues this year. We haven't disclosed yet any figures, but it's really positive. And then with the Life Capital disbandment, and basically the transfer of ReAssure to Phoenix, we have improved the risk return profile of the group, which would benefit us in the future.  And with that, I think we can start the Q&A session and I hand over to Thomas.
Thomas Bohun : Thank you, Christian, before we start, if I could just remind you to restrict yourselves to two questions, and then rejoin the queue if you have any additional questions. With that, operator, can we take the first question, please?
Operator: The first question comes from the line of Andrew Ritchie with Autonomous. Please go ahead.
Andrew Ritchie: Hi, there. Thanks for the opportunity. Can I just get a bit more detail on your decision to cut back on the aggregate business of 1-1, I mean, is this – I guess this is business you were happy to write last year? So I'm just curious to understand what your view of risk has done over the last year? What particular insights have you gained on loss frequency? I guess I'm trying to balance your decision to cut it back versus being happy to write it last year. And what this tells me about your sort of cat load modeling. The second question, didn't want to open a whole can of worms. But you did mention, John, in your prepared remarks that the SST assumption on inflation was changed in Q4. Could you give some more us a little more detail of what are these? And I mean, that would suggest that's a forward looking indicator of expected higher losses than may accrue in GAAP, or is that not the way to think about it? Thanks. 
Thomas Bohun: Thank you, Andrew. Thierry, if you would start with the question on the aggregate.
Christian Mumenthaler: Maybe I'd start because this is a bit of a longer history. This predates the time of Thierry as our Chief Underwriting Officer. So overall, the Nat Cat performed extremely well over the last few years, including the aggregates. But when you split it into more detail, and we do this more in depth analysis, it's clear that the one underperforming part the last few years have been these aggregates and in the analysis – and so there, you can imagine there's always a strong confidence, especially when writing Net Cat. But these analysis as we went through them, we think one, there is more and more signs pointing in the direction that climate change is influencing these so called secondary perils like floods, hail, wildfires, droughts, et cetera. And as you know, remember we adapted our models last year to that.  But even once – even when you do that we felt that we certainly don't want to be overweighed in the segment. And the uncertainty, the pricing uncertainty there remains much higher, because these aggregates over the aggregate all the small losses the clients have over the whole year. And our model certainty is much higher when it comes to hurricanes or earthquakes, which are the much bigger events where we have much more data. So it's – we don't actually we don't say they're all bad, and prices have increased quite significantly in the aggregates. But yeah, you have these reflections during the year that even at increased rates, we – it's more a market positioning, how big you want to be. You might remember, actually, two or three times last few years. We don't talk about the good ones, but there were a few bad ones in Australia. So where we stuck out, and that's not something we want to do in the future. So it's a mixture of considerations. I don't know, Thierry, you want to add something maybe to that? 
Thierry Léger: Just a few words, so the – first of all, as Christian said, it's – the frequency is a lot about secondary perils, it's a lot about un-modeled risks. And we obviously prefer modeled risk to un-modeled risk as you will understand, and the aggregate had the tendency over the last, say, five years to move more and more into the frequency, there are frequency covers, but they moved even more there. So our aim was to move more out of those un-modeled risks. If you look at the loss impact, we had the contribution from secondary perils to the overall losses over the last few years. The impacts from these secondary pairs have actually increased to around 50% in 2020. So that trend we had to break as well. So all of that pointed to a reduction in the aggregates, but also in the attempt to move some of the aggregates away again, from the money where they are. Unfortunately, at this renewal, we have seen an attempt from clients to go the other way. There is obviously a desire, because they've seen them working pretty well to go even closer to the money.
Thomas Bohun:  And John on the SST?
John Dacey: So thanks, Andrew. And I'll be careful about keeping my prepared remarks very short as possible in the future because there are going to – some questions here. But let me give you a try. We've got a series of parameters in the SST calculation that we routinely evaluate and recalibrate. As I mentioned, one of the things that we've recalibrated for the January 1 number, which we'll release next month, is in fact, the parameters related to long-term inflation. And this has done a little bit on some of the more extreme shock inflation scenarios where a combination of a potential reversal of globalization on supply chains, the unwinding of the giant monetary easing, occurred in the context of the pandemic has – takes us into territory that otherwise was not necessarily foreseen a year ago. You should assume that the potential impact here on a probability basis is also brought back into the reserved positions and some of the reserving actions taken, frankly, in the last couple of years have reflected this impact of social inflation. And here the question is whether a more fundamental CPI change would be catching up, frankly, to some of the claims inflation parameters, which we've already adjusted. So I don't think you should expect any particularly knock on effect on claims reserved positions as a result of this. It will have a – sudden reduction in the reported SST number. And we'll give you more details about that when we show up in March.
Thomas Bohun: Thank you, Andrew. Could we have the next question please?
Operator: The next question comes from the line of James Chuck with Citi. Please go ahead.
James Chuck: Thank you. Good morning. Good afternoon, everybody. So two questions from me, John, again, on your prepared comments, you talked about deploying capital in the business. And I think to the January yields, we haven't really seen that and the Nat Cat exposure has gone down, the P&C volume is down, the loss SST update you gave at 1 July, I think you indicated that there was target capital growth of 700 million in P&C Re, 1.5 billion in Life & Health Re, so we just kind of get to – because SST is forward looking. So I just want to get an idea of is that capital that you indicated at 1 July, is that still valid now? When you do talk about foreign capital, where is it – where is it likely to come through, is it a financial market segment as you take on more investment risk?  And then the second question was around the investment income side of things. So I'm just looking for a little bit more clarity and a little bit more specificity here, if you like. Because the running yield is 2.4%, you got 2.0 billion of investment income. I know that reinvestment rates are coming down, and I know you haven't read it to be long duration. So there's a number of things pulling in different directions because you've got increased de-risking potential, you've got growth in the underlying business. So really, I'm looking for absolute number at the group level of 2.0. How should we expect that to trend over the next two to three years please? Thank you.
John Dacey : James, let me try and answer in the order you have asked. With respect to deploying capital, I think one of the things we didn't want to leave is any confusion about the actions we took on renewal versus our appetite for writing correctly price business and various pieces. So on the renewal, we were focused on margins, we were focused on further reductions in our US liability exposures and we were focused on the terms and conditions of the policies we wrote. Christian mentioned specifically on some of the property exposures vis-a-vis the aggregates and that led to a reduction, actually I think the total premiums of Nat Cats flat year-on-year on premiums written as of January 1. There's a lot of business which will come through in the rest of the year.  Our whole transactions books, which typically is not part of the 1-1 renewals, the renewals in Japan, and in North America coming in June and July after the April renewals, so I think the messaging is where we've got adequate pricing correctly worded terms, we're prepared to write more P&C business and our reinsurance book, in the first case. Corporate Solutions which has been able to grow some of the better price lines of business consistent with the new portfolio, they're moving forward with. And we showed a slide I think the deck will continue to catch up some ground. We were down 3% on premiums year-on-year, I would expect that to reverse to a positive increase in premiums in 2021. Our Life & Health business which was up 6% or 7% in 2020, I think should continue to grow. Again, we've seen opportunities there with our Life & Health clients, some of which are doing some fairly significant restructurings of their own portfolio, providing us opportunities particularly on some of the protection business, which is what we'd like to help them in managing these restructuring. So I think overall, I'm fairly optimistic that we'll find those buckets on the liability side.  With respect to asset side, what you didn't see when we did – we've shown the comparison of our portfolio ex ReAssure together with where we stood at year end. There, you did see a bit of modest increase in some of the credit risk. I think you've seen that we maintain some of our hedging into the yearend on our asset side, both equities and investments that was related to the certain uncertainties in the political world, frankly, both in the US and UK. As that has resolved itself largely, we continue to de-risk or de-hedge, so I guess increase again in modest steps the risk of our asset portfolio, and we'll take advantage of the situations where Guido and the team and asset management sees the opportunity.  You're specifically asking about investment income. I mean, you're right, we've got a six year duration on assets, plus or minus, we've got a lot of long dated bonds in the portfolio on fixed income, which are relatively stable. And providing at the reinvestment yield of 1.3% will bring us down. We're not going to overstate what's happened between December 31 and now, but at least, we do see some positive moves on interest rates. And if that continues, it's going to cushion whatever blow of the reinvestment that we see in front of us. I think the most important thing is the pricing of our P&C contracts in particular, but also our life business reflects the current interest rate environment. And if we find ourselves having to reinvest at 1.3 for a longer period of time, we're prepared to do that because of the price we can get on our portfolios in P&C in Life & Health. 
Thomas Bohun: Thank you, James. If we could have the next question please?
Operator: The next question comes from line of Kamran Hussain with RBC. Please go ahead.
Kamran Hussain: Hi, everyone. A couple of questions for me, the first one is on dividend. I guess in a very difficult year for the industry, the good news is you paid the dividend again. What scenarios would stop you pay? Because it feels like we've kind of pretty much stress tested paying the dividend or not. So that's the first question, how much flexibility do you have around that going forward? The second question is on, I guess, pandemic losses versus what you've put. It looks like if you total up total COVID losses, they seem to be well below your view of the pandemic, which I assume reflects your losses for the year plus next year. Do you think the rest of the industry has taken as cautious a view and therefore where does it go from here really, any thoughts on those two would be very helpful? Thank you.
Thomas Bohun: John, would you like to take the first question on dividends? 
John Dacey: Sure. On dividends we've shown and I think there is even a slide that Christian referenced earlier today, our capital management framework and the maintenance of this dividend is an important piece of what we think is appropriate. It comes second after the first one was to be sure that we're adequately capitalized as a company to run our business. And so I think, to answer your question, yes, the dividend was stable in Swiss francs, actually, for the people that are interested in using the US dollar return, it's probably up 9% compared to a year ago, but I think like any company, we look at the source of earnings, and most importantly, for Swiss Re the economic earnings, which formed the basis of our ability to be able to sustain this dividend.  And 2020 was a tough year both on our US cap and on our EVM basis, because of the large amount of losses that we've incurred, both from pandemic and frankly, from some of our normal business. We've – had it been a normal US cap year of making 2.2 billion, which is the ex COVID number and the EVM been adjusted similarly. I think this would be even easier. But it wasn't a difficult decision this year in maintaining this dividend I think it also wasn't necessarily difficult to say that 2021 is not going to be a year of share buybacks. We'll continue to build capital. We look to remain one of the best capitalized insurance groups in the world. And that dividend at the moment looks pretty secure to me. 
Christian Mumenthaler: Maybe I picked the digital one on pandemic losses, Kamran. My feeling talking to peers is that we – the more immediate peers, we have a very similar view at this stage. You got much more similar over time of how big this is going to be. Some have obviously some protection. The biggest gap there or different views probably exists in the business interruption which we all acknowledge is very uncertain. So it could be that we're more cautious there and only time will tell who's right. We don't have more information in others to guess what this should be. When it comes to the wider industry, I think one thing that became clear and clear to us, because it's not affecting us that much, is that while there's big negatives, there's also going to be some very, very big and significant positives for some insurance companies, which obviously is not necessarily something they want to talk about.  And I think in particular, in the motor side you can imagine that while they give back some premium and a different mechanism, there's still some very high positives. And so when companies give out their numbers, it's always the net of both numbers the negatives and positives and it will be very hard to keep it apart or take it apart and see how it looks like. We still think that the negatives will be a very severe loss, but I think it's dampened in the overall aggregate you're hearing by some of these lower frequencies, which are, I guess, most important, where you had lockdowns and where people have a lot of motor business. 
Thomas Bohun : Thank you, Kamran. Could we have the next question please?
Operator: The next question comes from the line of Ivan Bokhmat. Sorry, Mr. Bokhmat just retrieved his question. We take the next question, which comes from the line of Iain Pearce with Credit Suisse. Please go ahead.
Iain Pearce: Hi, and thanks for taking my questions. My first one and I guess was sort of following on from the point you just made on capital. I'm just wondering if you could discuss the economic framework and the capital framework around the new solvency guidance. Should we not be expecting share buybacks unless you're above that 250 target range? And similarly, 200 is sort of an absolute lower bound in terms of the solvency ratio. And then my second question is just on casualty sort of similar to what Andrew was asking on the Nat Cat book. What has changed on your view of casualty business in the last year that's led to the pullback in those areas? Thanks.
Thomas Bohun : John, would you like to take the first question? 
John Dacey: Sure. So on the range we put in, we replaced what we thought was a inappropriate utilization of a point estimate originally which was I think misunderstood or mis-communicated as a limit, and then understood later to be a target around which we would move. But we think the 250 to 200 is more reflective of a range, which in some places that board will and management certainly will be comfortable in the lower part of given, especially macroeconomic conditions. And in some places, we're going to feel more comfortable being in the upper end of this range. To your specific question, no, we do not necessarily have to be above 250 to launch a share buyback. I think if we think the stars of the line and we're in a strong capital position and we don't foresee the utilization for writing lots of new risk or taking material additional asset risk, then yes, we'll be happy to return capital. Similarly, I don't think 200 is an absolute limit.  Obviously, with respect to the regulators, it's certainly not and what I think it means is, were we to go below 200, we would be moving aggressively to get ourselves back into the range. But I think this is a range, which allows a certain level of flexibility for us to maneuver and reflects, frankly, a little bit of what we saw in 2020, which says a number of exogenous variables can move us around a bit without causing concern about the overall level of the capital or strength of the capital that we have. So I know – are we anticipated that some of you won't necessarily be pleased with this kind of a range. But I'd also suggest it's probably coherent with what most of our competitors are utilizing for their own capital management. I simply note that our numbers seem relatively conservative. 
Thomas Bohun : Thierry on casualty. 
Thierry Léger: On Casualty, so when we look back at the last few years, and what actually at present the reserve strengthening, we have realized that social inflation that is not a new phenomenon has increased to particular strategies of the plaintiff's bars that we've observed. Obviously, this is US. This is US general liability. And we've also found that it is particularly the large companies that are impacted by these. So the first out of three steps in casualty that the FDA decided to implement was to reduce our exposure from these large corporate risks in the US. So again, general liability targeted. The second target I have mentioned at Investor Day, which is that we will focus more than ever on technical results in this low yield environment, which is what Christian mentioned already.  So those deals that you would ride to bolster 100% combined ratio were less desirable. Typically those deals are those that have higher volumes as well, but not necessarily high profit expectations, so technical result was the other area our second area of focus. And the last one I wanted to mention are the reinsurance structures. So when you see improvements on the original side of the business, that doesn't necessarily mean, it comes through the reinsurance structures one-to-one for us. So we've been very clear on which reinsurance structures we like and which we don't like and we have exited typically those structures that don't allow us to recover core profit in the same way our clients to fund the improvement on the original rate side.  A - Thomas Bohun Thank you, Iain. If we could have the next question please?
Operator: The next question comes from the line of Vinit Malhotra with Mediobanca. Please go ahead.
Vinit Malhotra: Good afternoon. Thank you. Just the first question is on Slide 12 today, please. The 4 billion which was up for renewal for casualty gains which stood at 17% fall, so just noted this number is significantly different from what was renewed last year, the same slide of last year, which was 5.2 billion. Now usually I understand from earlier years and our conversations that it could be multiyear treaties and all that. But it does suggest that for casualty in particular, there is a $1 billion plus of treaties which or multiyear contracts or something else which has driven this. So that's really the question that is it – are you comfortable with what you have now on the casualty book, considering that there was already a sizable portion, which was not renewed, and you probably could not negotiate around it. So that's really just a question on casualty. And second question is just on corporate solutions, reserve movements, fourth quarter seems to be quite a strong reserve release close to 10 points, I would think. Is there a comment on that which we could use or any detail or any help? Thank you very much.
Thomas Bohun : Question on casualty, Thierry?
Thierry Léger : I'm happy to take this one. So it's well observed Vinit, the reduction from the 5.2 to 4 billion as a starting point. And the main drivers of this – or what you mentioned the multiyear deals that we did not need to renew. So they didn't come up for renewal this time. And the other one is as well that we had some deals that were coming through with premium deals in previously. And now due to some structural changes, actually has changed to be accounted for without premium. So that positive accounted. And both of these effects have actually reduced the renewable and casualty premium.
Thomas Bohun : And the second question John, on corporate solutions reserves. 
John Dacey: So Vinit you're right, corporate solutions did release a prior year reserve in the fourth quarter. It's probably about half of the total that they've done for the year. This was a judgment made at the end of the year when they actually had the four months. What I will say – or four quarters, I'd say that 2020 has been a challenging year for understanding claims patterns. And both in terms of what's been notified during the course of the year, but also how some of the claims have either resolved themselves or not arrived in times that you might have thought that they would. So we think we've taken a fairly conservative view on corporate solutions both for the current year and for prior year. But this release appeared appropriate for us and we just remained very comfortable. Obviously, the underlying result, ex COVID did not need this. This wasn't any attempt to make that number look better. It was just, frankly a challenge not to release a given the evidence that was in front of us. 
Thomas Bohun : Thank you, Vinit. Could we have the next question please?
Operator: The next question comes from the line of Will Hardcastle with UBS. Please go ahead.
Will Hardcastle: Hi, there everyone. First one is you talked about the growth premium adoption around the 11%. But can we – January renewals, can we discuss what action is being taken on the reinsurance retro protection? So how we should see that coming through on a net basis? I know you touched on this at the capital markets day, but just wanted to get some clarification from January. And then the second question is thinking about the SST ratio may be falling a bit on what James was asking earlier. It's regarding exposure reduction. Has that already been reflected in such? Or will it be when the SST ratio next month in terms of exposures reductions that you've already taken? And then presumably has this exposure growth assumption going forwards. So if you can give any sort of quantification for that and expectations for the remainder of the year that would be helpful. Thank you.
John Dacey: Sure. Well, I think I've got both of these. On the first one, yeah, you're right. At Investor Day, we gave you some detail about the alternative capital partners, the team and the actions they're taking and the retro programs that they're – they expanded in 2020 and continued to 2021. We expect to be a – to continue to be an important player here, and so we're unlikely to dial back the retro activities of the group. That might lead to a little bit of a squeeze on the net exposure of the gross doesn't quite renew. But, frankly, that renewal was not that far off of plan. So as I said, January 1s important for us, but we've got the rest of the year, especially the summer renewals in North America with respect to season and other US exposures. So I think it's premature to think that that exposure overall will shrink and in dramatic ways.  The SST exposure, we do try to include some adjustments for the renewed portfolio in the January 1 estimate of SST, it's one of the reasons why this takes some extra time along with our EVM results. And having said that the majority of our capital is based on the enforced book and so – and permutations around renewals probably don't have a big impact on what to expect. The other thing I just reiterate, in the SST number on January 1, will be the expected cost of the dividend, which I think moved up to 1.9 billion for us, as well as the expected loss for the COVID claims in 2021. And they're one – difference between what we disclose here and what's in that calculation. The P&C numbers will be very clear with what we've got and released today. On Life & Health, we had to make an estimate of what the Life & Health loss might be for the year, whereas we've provided the calculation for you to work with your own view on where ultimate test might come up to, but those two will also be in the calculation for the SST.
Thomas Bohun : Thank you, Will. Could we have the next question, please?
Operator: The next question comes from the line of Ashik Musaddi with JP Morgan. Please go ahead.
Ashik Musaddi: Yeah. Hi. Thank you. This Ashik Musaddi from JPMorgan. Just a couple of questions, first of all, I mean, as you mentioned earlier in the call as well, that the climate change, it looks like a bit real and it is impacting some of the losses, which you see, but you still haven't changed the climate change, seven percentage point if I'm not wrong, the Nat Cat budget. I mean, so how do we think about that because it continued to bring in with to your earnings expectation? I would say. The second question would be, you mentioned that with the increase in pricing you are comfortable in guiding for less than 95% combined ratio for P&C Re, but that includes a lot of conservative loss assumption. Can you give us some clarity of how that compares like that conservative assumptions this year compared with what was baked in and say 97%? So as to just asset, how better could it be versus 95%? And just last question, it is simple like clarification. 2021 COVID losses that you're suggesting of less than 500 million, is it based on the current information? Or is it based on some future expectation as well? Like, for example, cancellation of Olympics et cetera? Yeah. That'll be great. Thank you.
Thomas Bohun : Thierry, would you like to take the first Nat Cat budget?
Thierry Léger : Yeah. So climate change is a big topic, as you rightly say, but Christian mentioned it already. So we've looked into this in detail. And we found that, as Christian said, that urbanization so more and more people moving to areas exposed to climate risks, that's actually the primary driver of the increase in losses over the last two decades by far. And that is one of the reasons why actually, climate change has not been really detected if you go back. But we feel that over the last few years, and I think I made the point already, we see that in terms of the load to secondary perils are not the main perils, we've actually seen a real impact. And we for the first time actually see that beyond urbanization that is an impact that we think is coming from climate change. And we have updated all the models that we have. But as I said before, we cannot model and we do not model every secondary peril. So that's one of the reasons why we actually want to move away from the secondary perils that we expect will surprise us on the negative side, even more so in going forward. 
Christian Mumenthaler: But maybe also from my side as a clarification, so the way – I mean that we were close to the climate science and all the scientists in the world and the consensus at this stage is that climate change is visible in the secondary perils not yet proven in the very big ones. But the way it finds its way into the budget is through the expected loss. So last year, we increased some of the models of the secondary perils, which means that at costing and everything, in the end, you see it in our budget. So thankfully, we don't take multiyear trend risk in climate change, because it's a certainty is not a risk. What we take is just the yearly volatility. And the middle point of that is just moving up with updates of our model. So this is how it's captured in the models.
John Dacey : Maybe I'll come in on the question on the combined ratio, I think, both for corporate solutions at less than 97 and for P&C Re at less than 95. We've adapted in 2019, and 2020 our loss picks by line of business across the world to get to what we think is a correctly casted book, which will not require us to do any further reserve adjustments in future years. And so the conservatism that we might have alluded to is, I think, systematically learning from some of the actions that we have to take in 2018 and 2019, on reserving P&C Re actually even in the first quarter of 2020. To be sure that on a going forward basis, we're starting off on the right foot. Now, unfortunately, I don't think that allows you to make any real assumptions about where we're going to land other than better than 95. I can only say that we don't view 95 as a particularly round number. So we were confident that we're going to be better than 94, we might have said that, but we didn't. So for now, I think that's the right guidance to work with. And obviously, as we go through quarters one and quarter two, you'll get a view of how we're developing during the course of the year.  With respect to the COVID losses, which was your third question, I guess I'd encourage you to go back to Page 6 where we give a little bit of detail around the three buckets. Specifically with respect to event cancellation you see the second bullet point says this ultimate losses anticipates larger sporting events will take place, maybe without spectators in 2021, and certainly in the second half of 2021. So a difference that I mentioned earlier today, as we speak, the Australian Tennis Open is going on successfully, even with fans, very different than during the summer of 2020 when Wimbledon was cancelled, with real consequences for the insurance industry, which had to pay up for some of the lost revenue.  So we're anticipating some return to normalcy, we've seen evidence that people can travel, that they can manage these kinds of events, it won't be the same as it was in the case of the Olympics, five years ago, but it should be, okay is our current hypothesis. If it's not, we'll adjust. But the other thing which I'd just reiterate, on the COVID P&C reserves that we've got set up, 70% of these reserves remain IBNRs, so we believe that these will come through. But it's not as though there's no room for a little adaptation as actual losses get reported in here. So I think we're in good shape, we're comfortable that the reserves we have are appropriate at best estimate at yearend. And our view is that these three numbers on Page 6 reflect ongoing exposures that we've got as a best estimate. 
Thomas Bohun : Thank you, Ashik. If we could have the next question please? 
Operator: The next question comes from the line of Thomas Fossard with HSBC. Please go ahead. 
Thomas Fossard: Good afternoon. Two remaining questions, the first one will be on mortality. So you're providing an unchanged sensitivity. But I was wondering if there were any offsetting positives that could play in into the year or into H1 in order to offset a higher potential mortality claims coming from the US? And the second question will be related to IBNR, if you could disclose the IBNR for the BI line of business? Thank you.
Thomas Bohun : Thierry, would you like to take the question on mortality?
Thierry Léger: I'm happy to do so. Hi, Thomas. So the offsetting we've communicated on this already a little bit. So we have the longevity line of business with some offset. That's also one of the reasons why we write longevity and we have seen that offset. The other line of business where we have seen better than expected results was in medical. So as you all know that simply being less people going for surgery and that had quite an impact on both lines of business. Other than that there were no particular offsets observable in our portfolio.
Christian Mumenthaler: And I think Thomas, things about whether as we progress, the people would have died anyway. And therefore you're going to have that that's a big question. We did a thing internally, as you can imagine, unless there is strong evidence for that there's a reluctance to recognize that I think some effect will be seen, as you know, I think half of the people or so in Europe who died were in ageing homes were usually the life expectancy is low. But equally, there's also quite a bit of people who have died who had many, many years to live otherwise. So I don't think we see at this moment, a big upside in that sense in the portfolio. Saw some yes, but we're cautious and it's very little is included in the EVM. 
Thierry Léger: Thank you, Christian. Sorry Thomas, for having misunderstood the question. But we have obviously launched a whole project around this to monitor these potential negative or positive impacts, because they can go both ways. And so far we are neutral.
John Dacey : And maybe Thomas with respect to the IBNRs, I'm not sure that we're releasing by line of business. But I can give you a little more detail by business units. So you won't be surprised that the lowest level of IBNRs around the Life & Health Re business where 75% of the claims are related to actually received and reported claims on that business. So the IBNR sits at 25%. For CorSo it sits at 52% and that's a mix of probably higher IBNRs in the business interruption and lower amongst events cancellation and credit and surety. For P&C Re the IBNRs for the reserves the 1.9 billion of reserves we have is at 80% and again, I think it's safe to say that the event cancellation probably is below that in the other lines and business interruption are likely about that.
Thomas Bohun : Thomas and on Slide 5, we have – you see that at least visually on BI that it's a very significant amount. Thank you, Thomas for the questions. If we could have the next question please?
Operator: The next question comes from the line of Michael Haid with Commerzbank. Please go ahead.
Michael Haid: Thank you very much. Good afternoon to everyone. First question on asset management, apparently you have hedges in place, some hedges on credit risk that you put on in the fourth quarter and then there's also some hedges on your PIA portfolio. Is the credit hedges still in place? And why do you have FX hedges on your PIA portfolio? Second question on the renewals, as we discussed, you reduce your exposure to Nat Cat aggregate covers, which exposes you to secondary perils, which suggests that pricing of these risks are still too low. So the conclusion is that prices have to rise further. Can you put a price tag on this? Or is this just a portfolio decision so as to reduce your previously overweight position to a normal position? 
Thomas Bohun : The first question to John. 
John Dacey: Sure. So Michael, yes, we have had some hedges in place vis-à-vis the credit portfolio again, as I mentioned, at yearend, the uncertainty around some political situations in major economies made us a little more cautious than hindsight suggests that we should have been. We don't regret that. I think we're comfortable with them on and yes, we've been reducing them subsequently. And so I think you should anticipate at least a modest increase in our credit exposures in the asset portfolio. With respect to PIA, we actually – I'm not quite sure the source of the information, but we don't hedge the individual investments. In a couple cases, we'll hedge a little bit that some of the currency exposures we might have. But the actual investments were – are typically strategic and we are comfortable with what we own there. So there really isn't much logic, to hedge anything that we've got there. I'd say lastly, the one somewhat chunky investment that we have is the Phoenix shares. And again, that creates a certain volatility, which will play itself out on a quarterly basis. But it's easy, I think, for everybody to understand what that is and why we have it. And since we've taken those shares, they've performed very well. The company as Christian said has done a very good job of the integration of ReAssure and we're fine.
Thomas Bohun : Thierry, the second question. 
Thierry Léger: Michael, on your question around the aggregate, so I mean, historically, we've been a leader in these aggregates. We've more than a decade of experience in the space. So I think we understand these covers quite well. I've elaborated already on the issue around secondary perils and the impact of climate change. So I think what needs to happen first for us is really to move the aggregate further away from frequency. That's the first move that has to happen. And once we have achieved that one, then obviously we need also a price increase to achieve satisfactory returns. 
Thomas Bohun : Thank you, Michael. If we could have the last question please?
Operator: The last question for today comes from the line of Paris Hadjiantonis with Exane BNP Paribas. Please go ahead.
Paris Hadjiantonis: Yes. Hi, everyone from my side. I hope you're doing well. So two questions remaining, just going back to BI where a lot of the uncertainty around the estimated cost of COVID-19 lies. You have other almost 400 million of reserves here in Q4. So I'm just trying to understand what is driving thoughts and relating to that has the UK BI decision by the Supreme Court changed your view of what should be covered on the aggregate catastrophe treaties? I understand that some people are talking about potential arbitration on aggregate catastrophe treaties going forward. Then the second question is on portfolio pruning and the reduction in aggregate covers and casualty. So is there more to come over 2021? I think from your comments you're basically saying totally in your Life side 11% premium reduction, but you could give us some better color on what is yet to come not? That would be helpful. Thank you.
Thomas Bohun : First question to John. 
John Dacey: Yes. Paris, thank you. You're exactly right. We did increase with some significance the BI covers both in corporate solutions and in P&C Re in the fourth quarter. There's two main reasons for that one, was the court decisions in Australia especially, but also the reaffirmations in the UK, which we view as having some marginal increase in our exposure, maybe a somewhat larger increase in the exposure of the industry as a result of those decisions and so we've added that. And the second was, in the context of the second wave of lockdowns in Q4, there probably will be some new claims coming from disruptive businesses. That's probably smaller than the issue of the interpretations of liability coming out of the court decisions. But the combination that led us to a more prudential view, I think and that's why we've got 1.4 billion up between the two business units
Thomas Bohun : Second question to Thierry.
Thierry Léger: Yeah, to the second question, I'd love to know the answer and be able to see the future today. So your question two is there more to come in pruning on the aggregates and on the casualty side, obviously difficult as we actually really focused on the quality of the business, quality of margin very much so and obviously, very actively in discussions with our clients to get the structures and the treaties in a spot that we like. So what I certainly wouldn't advise to do is to just read through it is 11% reduction now for the rest of the year. That is certainly not something I would say as John also pointed out, we see still a lot of opportunities throughout the years. John mentioned transactions. Typically, 1-1 is not necessarily the moment where we do all those transactions. That is – there's a lot still out there in that field. So I'm personally very confident that with this portfolio that we have achieved on 1-1, which is a very, very solid portfolio. And Chris mentioned it better mix and also much better terms that on the basis of such a portfolio, we will be very confident in looking at further opportunities throughout the year. 
Thomas Bohun: With that, thank you all for joining today's call. As always, if you have further questions, please get in touch with any member of the Investor Relations team. And with that, we wish you all a nice weekend. Thank you. And thank you, operator.
Operator: Thank you for your participation ladies and gentlemen. You may now disconnect.